Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the Cardlytics Fourth Quarter and Full Year 2017 Financial Results. At this time, all participants are in a listen-only mode to prevent background noise. [Operator Instructions] And as a reminder, this conference is being recorded. Now, I would like to welcome and turn the call to Kirk Somers.
Kirk Somers: Good afternoon and welcome to Cardlytics fourth quarter and full year 2017 financial results call. Before we begin, let me remind everyone that today’s discussion will contain forward-looking statements based on our current assumptions, expectations and beliefs, including projected 2018 first quarter and full year financial results and operating metrics, business strategies and other forward-looking topics such as anticipated growth indirect with new and existing customers, average revenue per user, monthly average users, advertising budgets, marketer adoption, customer engagement, bank partnership, improved customer experience and anticipated investments. For a discussion of the specific risk factors that could cause our actual results to differ materially from today’s discussion, please refer to the Risk Factors section of the company’s perspectives filed pursuant to Rule 424(b)(4) under the Securities Act of 1933 on February 9, 2018 and in subsequent periodic reports that the company files with the Securities and Exchange Commission. Also during this call, we will discuss non-GAAP measures of our performance. GAAP financial reconciliations and supplemental financial information are provided in the press release issued today and the 8-K filed with the SEC. Today’s call is available via webcast and a replay will be available for two weeks. You can find all of the information I have just described in the Investor Relations section of Cardlytics website. Joining us on the call today are Cardlytics leadership team, including CEO and Co-Founder, Scott Grimes; COO and Co-Founder, Lynne Laube and CFO, David Evans. Following their prepared remarks, we will open the call to your questions. With that, let me turn the call over to Scott Grimes, Cardlytics’ CEO and Co-Founder. Scott?
Scott Grimes: Thanks, Scott and thank you to everyone for joining today’s call. We are happy to be hosting our first call as a public company today. We saw some familiar faces and met a lot of new investors during our IPO roadshow. We look forward to getting to know all of you and thank you all for your support of Cardlytics. I also want to thank the entire Cardlytics team for their hard work and dedication throughout the process. We are clearly excited about the power of purchase intelligence and what we plan to accomplish this year and beyond. On today’s call, we will discuss our fourth quarter and full year 2017 results and also talk about our plans for 2018. Total revenue for the fourth quarter was $39.3 million due to continued strong execution across the board, including increasing monthly active users or MAUs and expanding our base of advertisers and verticals. As expected, total revenue growth for Q4 was in the high single-digits overall, but up over 20% for our core direct business. For the full year 2017, our core business grew 25% with total 2017 revenue of $130.4 million. Adjusted EBITDA was $487,000 in the fourth quarter compared to a $202,000 loss in the prior year period, mostly as a result of flow-through from higher revenues. For the full year 2017, our adjusted EBITDA loss was $7.2 million representing an improvement of $9.9 million from a loss of $17 million in 2016. Lynne Laube and David Evans will provide more detail regarding our product activities and financials in their prepared remarks later during this call. But before I hand it over, let me first touch on how our purchase intelligence platform is solving real business problems for marketers and the progress we made with our clients in Q4 and throughout 2017. I recently spoke at a marketing industry event in San Francisco, where senior leaders voiced their continued demand for accountability, transparency and brand safety from their advertising partners. Marketers are looking for partners who can not only reach real customers at scale, but also deliver a strong ROI and be able to measure it based on real business outcomes. This is what Cardlytics does. Based on our years of experience using purchase intelligence to help marketers to grow their business, we know that past purchase history is one of the best predictors of how people are likely to make purchases in the future. The incredible insights we have from our view into $1.5 trillion in annual spend that only gives marketers a holistic view of how their customers spend their money, but we also help them with that knowledge to use to drive real business through our own native advertising channel Cardlytics Direct. We continue to drive adoption of Cardlytics Direct with both new and existing marketing clients, all of which helps to grow average revenue per user or ARPU. And as part of our land and expand strategy, we work closely with all of our advertising customers to grow their budgets. As we grow in their use and drive customer engagement, we have seen even more opportunities for our marketing clients to reach valuable customers via their trusted banking channels. As an example in Q4, we signed our 2018 agreement with a major retailer to increase their annual investment by nearly 80% and have increased it by over 5x since they first adopted Cardlytics Direct in 2012. We continued to work towards growing spend and singing long-term contracts with all of our existing advertisers including those in our stronghold verticals such as retail, restaurant and subscription services as well as newer growth verticals such as grocery, travel and entertainment. Finally, on the advertising front we have recently announced that we have added Randall Beard to our executive leadership team as Group President for our advertising business. Randall most recently served as Global President for ad solutions, expanded verticals and innovation at the Nielsen Company. Prior to Nielsen, Randall was the head of marketing and product at American Express and global head of marketing at UBS. Randall will continue to drive markers adoption of our platform in turn creating greater value for our base partners and their customers, that’s the powerful network effect we see in our business. In addition to growing relationships with our marketing clients, we are also constantly working with our bank partners to improve their customer experience and to increase the value we will create for all of our marketers, banks and our their mutual customers. I will now hand it over – I will now hand the call over to Lynne to discuss how we continue to innovate with our bank partners. Lynne?
Lynne Laube: Thanks, Scott. Our strategy on the bank side is similar to our two-pronged land and expand strategy on the marketing side. We grow relationship with new banks and continuously improve our performance with existing banks, all of which helps us drive MAU and ARPU growth. In 2017, we developed a number of new relationships including the launch of SunTrust in March. SunTrust deals launched with our best-in-class UI design in their online banking and mobile environment which showed immediate results. At the time of SunTrust press release announcing the launch, nearly 80% of those who had visited SunTrust deals had activated a deal. We continue to see SunTrust customers reap the benefit of the program, helped by our best in class UI. In fact SunTrust recently featured the SunTrust Deals program as one of their most important tax accomplishments in 2017 in their corporate annual report. During the roadshow, we mentioned that Wells Fargo would be launching a pilot program with us in Q1. The pilot launched on January 29 and is progressing nicely. When encouraged by recent traction with this e-mail only pilot where we have seen open rates and engagement rates in excess of other similar programs on our network. We are always working to make existing bank partnerships even more valuable. We have been doing this for a decade and we become very effective at using our data and analytics to predict and measure what will drive even better results for our bank partners and for their customers. I would like to highlight few examples from 2017. First, we worked with our bank partners to improve their mobile user experiences. A number of our larger banks have implemented a product that allows their customers to active deals without authenticating and brings our advertising client logos to the homepage of the mobile banking app. In 2017, this helped us to grow the number of customers activating through mobile. Second, we had a number of bank partners including many of our largest banks implement a program to get more of their customers engaged. This included e-mail to their customers as well as banner ads on their online and mobile channels including the home pages of their site. We have been pleased with the results of these initiatives. Finally, on the bank front, we have recently announced that Shannon Johnson has joined our executive leadership team as Group President of Financial Institutions. Shannon comes to us from SunTrust where she sponsored the launch of Cardlytics-SunTrust deal. Prior to that, she worked at PNC, where she was responsible for launching one of Cardlytics first large bank partnership, PNC Purchase Payback. With her intimate knowledge and understanding of how our program drives real value for banks, Shannon brings immediate value. With that, I will turn the call over to David to walk you through fourth quarter and 2017 financials.
David Evans: Thanks, Lynne. For the fourth quarter, overall revenue of $39.3 million increased 8% over Q4 of 2016. Revenue within our core direct business was $38.8 million representing 22% growth over Q4 2016. For the full year, total revenues were $130.4 million, an increase of 16% over 2016, while our direct revenue of $122.4 million was up 25% over the prior year. Total revenue growth was offset by our decision to deemphasize non-core products and other platform solutions. Note that we expect other platform solutions to be a meaningful headwind to overall revenue growth until we anniversary through the discontinuation of managed services and audiences in the third quarter of 2018. An important driver of our revenue is MAUs, which grew 24% over the fourth quarter of 2016 to $58.7 million. Continued adoption of our program and secular trends in digital banking, new bank volume from SunTrust and ongoing channel expansion into e-mail programs at our banks all drove the significant increase in MAUs versus the prior year period. As we extend our reach with existing bank partners and add new banks, we will continue to grow MAUs. Compared to 2016, we have grown MAUs 21% year-over-year with existing banks and 4% by adding new banks. It is important to remember that new MAUs have a maturation period before they reach their ARPU potential. We would expect this dynamic going forward, where material MAU growth will cause a decrease in ARPU for a period of time. Longer term, however, we believe the ramp in MAU supports continued revenue growth looking out beyond 2018. To this point, fourth quarter 2017 ARPU was $0.56 roughly flat versus $0.67 in the fourth quarter of 2016, reflecting strong MAU growth. Similarly, full year 2017 ARPU was $2.23 and flat versus the prior year. Adjusted contribution profit which we believe is another important metric we use to measure performance was $16.9 million on the fourth quarter compared to $15.1 million in the fourth quarter of 2016. For full year 2017, adjusted contribution profit was $57.1 million compared to $46.5 million in 2016. Adjusted EBITDA was $487,000 in the fourth quarter of 2017 compared to a $202,000 loss in the prior year period. For full year 2017, our adjusted EBITDA loss was $7.2 million, representing an improvement of approximately $9.9 million from a loss of $17 million in 2016. We ended the quarter with $21.3 million in cash and $13 million in availability from our AR facility. Note that approximately $66 million in proceeds of our IPO will be reflected in our first quarter financials given that we priced on February 8. Before I turn the call back over to Scott and open the line for your questions, I’d like to share a few thoughts about our guidance philosophy, which I think is important particularly as a newly public company with new and prospective investor still getting to know us. As you know, we have many more marketers and advertisers, most with annual budget cycles, which gives us a fairly good sense of what to expect for any upcoming calendar year and therefore our visibility around annual revenue guidance. However, what we and our advertisers are not specific on when we start the year are the exact dates and timing relating to the launch of their ad campaigns, which gives us less visibility month-to-month and quarter-to-quarter. Our first quarter guidance as an example reflects some pull forward campaign activities, so while our view around annual guidance would remain about where we thought it would be when we entered the year, it might have an impact on subsequent quarters. To that end, we expect first quarter revenue to be between $29.5 million and $30 million with full year 2018 revenue in the range of $157 million to $160 million. Further, we expect adjusted EBITDA loss for the first quarter to be between minus $4.9 million and minus $4.7 million and between $12.6 million and $11.4 million for the full year 2018. Of note, this adjusted EBITDA range excludes any FI Share commitments for all, which we estimate to be roughly $2 million in the second half of 2018. Also as Lynne noted, we recently launched the Wells pilot. I want to be clear that while we are excited about Wells and are on track with a pilot, we do not expect any meaningful contribution to revenue from Wells until 2019. As for a few housekeeping items we anticipate recognizing an estimated $2.5 million non-cash expense related to warrants that vested in our February IPO which will hit the FI Share line item. This will be adjusted out of adjusted contribution profit and adjusted EBITDA. We are off to a good start to the year and feel very good about what we have accomplished so far. And with that, I will hand it back to Scott for his closing remarks before we open the call to your questions. Scott?
Scott Grimes: Thanks David. In summary, we are excited about the positive momentum we are seeing as advertisers and banks see the value in our purchase intelligence platform. We are pleased with the growth from our direct business in 2017 and we believe the significant growth in MAUs during 2017 positions us well for sustained growth in 2018 and beyond. We expect to make disciplined investments to support that growth and to continue to innovate in our unique purchase intelligence platform. With that I will open the call up for your questions.
Operator: Thank you. [Operator Instructions] And our first question is from the line of [indiscernible] with JPMorgan. Your line is open.
Unidentified Analyst: Hi, this is [indiscernible] on for Doug. Thank you for taking our question. I have two if I can, first, do you have any update on how long you expect Wells Fargo pilots to be run? And then secondly, could you give us more color on how engagement and conversion differs across the banking in mobile and web in that and then e-mail and if you have anything in the product pipeline that could drive in the new growth higher?
Scott Grimes: Hello, thanks for asking the question. So in terms of Wells, as we mentioned during the roadshow, we are working closely with them around the details for a broader rollout. As we get closer to those and have those detailed refined, we will talk to investors. We are not at the point we are ready to do that yet. And the second question was around engagement in mobile versus online, is that right. So what we find across these different channels is they interact with each other, so we focused less on kind of reporting the engagement in a single channel versus when we launch a bank we tend to launch with single channels from the case of Wells we started with e-mail. And then we worked with the bank to go and add subsequent channels. What we find is as we add additional channels that has an effect across all of them and raises engagement overall for our customers.
Unidentified Analyst: Okay. Thank you.
Scott Grimes: Sure.
Operator: Thank you. Our next question comes from the line of Tim Willi with Wells Fargo. Your line is open.
Tim Willi: Yes. Hi. Thanks. Good afternoon everybody. Two questions, one Scott you mentioned in your opening and you were at a media advertising type conference discussing sort of the accountability demands that marketers want without seeing some stuff in the broader press about that as well over the last week or two, I guess I am curious what is your best dealing about whether this is mutual and incremental positive for an unknown in your mind with marketers and retailers and Cardlytics?
Scott Grimes: Hi, Tim. Thanks for the question. One of the things that we have seen over the past decade is one of the real strengths that there is really two real strengths to our model. First of all, the way that we handled data in a very consumer say anonymized way, never share data. And also the fact that we can measure the return of our marketing to the penny is the real strength. And as you know still 91% of our sales in the U.S. are in stores, only 9% are online. So we believe that as marketers demand better and better measurement, more and more accountability across all media types at the strength of our channel relative to other channels. And we also think as we extend our ability to measure not just our own media, but other types of media that creates a big opportunity for Cardlytics as we continue to grow.
Tim Willi: Okay. Thanks for that. And just tow quick follow-ups, the first one was around MAUs and I don’t know that this got discussed in our prep work, etcetera over the last 6 months, but in terms of the banks and engagement right, sourcing a lot of strong growth of mobile banking, web banking and engagement, is there anything that’s got on sort of underneath the service of efforts by banks to reengage with our consumers that might have been active with you, but for whatever reason dropped off I mean I was just curious about the dynamic into play that you had to your address from time-to-time or that’s really not something that’s materialized and want somebody becomes active, they are pretty consistently active with you?
Lynne Laube: Hey, Tim, this is Lynne. I will take that one. I think generally when somebody becomes active with the program they tend to stay engaged, so that first time use that is more of a challenge than repeat use. That being said, we have had a number of banks rollout some engagement strategies to drive more frequent repeat use. So instead of using it two times a quarter, maybe you use it three times or four times a quarter and they will get rewarded for doing such. So, 2 of our top 5 banks have done programs like this in the past couple of months and I think they will continue to do that. It just drives faster engagement.
Tim Willi: Great. And then my last one was for David just sort of a modeling type question and appreciate your philosophy around the guidance. In terms of sort of margins and the outlook and sort of balancing the revenue versus the actual margin equation, what would be the most likely variable that would maybe be the trade-off of not hitting a margin target, but seeing an opportunity on the revenue side to invest? And is there anything you are sort of keeping an eye on out there into the new verticals around travel and entertainment and stuff like that and might get dollars and maybe the margin wouldn’t necessarily stay in place relative to guidance, but the revenue could be better than expected?
David Evans: Yes, I think it’s a good question, Tim. I mean, obviously as we talked about on the road, a couple of things just more generally speaking on margins, I will just kind of walk through couple of the line items here. I mean, obviously as it relates to the FI Share as of third-party data cost that’s something that we see consistent going forward. And then obviously on the OpEx line items, I think these are areas where we will be at or better kind of going forward. I think as it relates to kind of what we are seeing in other verticals and other go-to-market strategies, I think we have seen a number of improvements over the last couple of years. I think we have found a good way to optimize on those as we enter in new verticals. Every new vertical is going to have a different approach in a different way that they want to engage with their consumers. We are certainly going to help them do that. I don’t know if I necessarily see anything that would be a risk to those margins, but at the same time I don’t also see anything that looks to be something of materiality with regards to improvement on those margins either Scott, I don’t know if you had anything to add that.
Scott Grimes: I agree. What we really find is when we are able to keep our return on ad spend for advertisers and that 1 to 5, 1 to 6 region that places us at the top of the marketing stack and that is really ultimately what they pace our markets, because of the time which much includes consumer incentive that we have to provide consumers to do that. We are pretty good at optimizing those across verticals. And so it does require a little more optimization early on as we enter into new vertical probably, but we work across in that verticals now that we see that remaining pretty consistent.
Tim Willi: Great. That’s all I have. Thanks so much.
Scott Grimes: Thanks, Tim.
Operator: Thank you. Our next question comes from the line of Youssef Squali with SunTrust. Your line is open.
Unidentified Analyst: Hi, this is [indiscernible] on for Youssef. With the land and expand strategy so important to revenue growth, I was hoping for some more color beyond the few categories you mentioned in the prepared remarks, especially as you have been meeting with marketers, planning their annual budgets both from the point of view of existing marketers and marketers that are potentially thinking about joining Cardlytics?
Scott Grimes: [indiscernible] thanks for the question. There is a couple of points that I think are worth mentioning there is, our sort of core three verticals, which is retail, restaurants and subscription services. Even in those verticals alone, we are just now barely tapping into the total budgets. So, we have tremendous headroom in both capturing more budget with our existing advertisers, penetrating advertisers within those three core verticals that we don’t have and we can just grow long, long time from these verticals. One of the key reasons we are focusing on grocery and travel and entertainment is first of all grocery is just kind of 100% of our customers, grocery is important to our banks and their customers and our experience in grocery is that when we bring grocery into the channel, it drives overall customer engagement and it improves performance of offers across all verticals. One way we have really learned that is over in our UK operation, we have really very successfully penetrated the grocery vertical in the UK. We are taking the learnings from the UK and we are beginning to deploy them in the U.S. So, that’s really what’s kind of behind grocery. In the case of travel and entertainment, as we continue to think about the banks we work with now and the future, we think of what we believe we will see a lot more credit card spend. That credit card spend is especially important in travel and entertainment and we are trying to get ahead of that to make sure we have some really good advertising inventory in that credit card space.
Unidentified Analyst: Alright. Thank you for the color on that.
Scott Grimes: Sure.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Andy Hargreaves with KeyBanc. Your line is open.
Andy Hargreaves: Thanks. Little bit of a follow-up that when you grow revenue and new verticals or new advertising verticals, is there a way to frame how active that is versus cannibalizing other opportunities? And I will just drop a second one, any progress on the data licensing business do you guys still see potential for that to ramp from the current levels?
Scott Grimes: Yes, let me take that real quickly, first in your additive question. So, at the core, that’s an ad load question. We have a tremendous amount of available impressions within all of our bank partners. So, we are not – as we reign in new offers, new verticals, we think it will have virtually no cannibalization costs. And there is a great deal more we can do in optimization even with our existing offers to continue to drive up their ARPU. So we don’t see any near-term risk. Do you want to build on that Dave?
David Evans: Yes, I did want to build on that just a little bit just from an MAU perspective. I mean as we have talked our MAUs will grow over a 3, 5, 7 year period at a low-teens rate pretty fairly consistently and we have seen that in the past. The fact of the matter is that this is going to go and fit some starts this past year, we had a good growth in MAUs. And so as it relates to having additional inventory, this is a great year for us to go out and go after a lot of those new MAUs when you considerably grow MAUs this past year at 25%. So, we have got a lot of areas to put those MAUs to use.
Scott Grimes: And then the data licensing, first I want to sort of clarify that. The business that we are focused on outside of the bank is what we call measurement, which is where we are using our analytics to measure the effectiveness of other types of media and we do that in conjunction with our privacy partners. Importantly, we do not ever share our data with other partners instead what we do is we conduct analytics on top with our data for other types of media. Our bank team is constantly working with our network and banks to bring in new bank partners into that business and we expect to discuss that more over the coming quarters.
Andy Hargreaves: Thank you.
Scott Grimes: Sure.
Operator: Thank you. And ladies and gentlemen, this concludes our Q&A and program for today. Thank you for participating. Have a great day. You may all disconnect.